Operator: Ladies and gentlemen, welcome to the Analyst and Investor Call Half Year 2025 Conference Call and Live Webcast. I am Sandra, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Christian Waelti. Please go ahead, sir.
Christian Waelti: Thank you, Sandra, and good afternoon, good morning, everyone. As you know, earlier today, Landis+Gyr issued its results ad hoc release and related presentation for the first half year 2025, which are available on our website. This session will follow the structure of the earnings presentation, so we encourage you to follow along. We'll conclude with Q&A, where Sandra will provide further instructions and where you will be able to ask questions. Please take a moment to review the usual disclaimer on Slide 2 of the presentation. A brief note on reporting before starting. The results of the EMEA operations are presented as discontinued operations for all periods. Unless stated otherwise, the figures we are sharing reflect Landis+Gyr's continuing operations only. After the short introduction, I'd like to hand the floor over to our CEO, Peter Mainz.
Peter Mainz: Thank you, Christian. Good morning and good afternoon, everyone. And thank you again, Christian, for reminding us to consider our financials from a new perspective. I'm here with Davinder, our Chief Financial Officer, and we are pleased to present our half year 2025 financial results. With that said, let's now start with a review of the highlights of our performance in the first half of 2025. Let's move to Slide 3. The first half of our financial year 2025 was marked by solid commercial momentum, as you can see. We are pleased to report a strong order intake of $595 million, resulting in a book-to-bill of 1.1, driven by key grid edge tech wins in the Americas. We're also particularly happy with the resulting order backlog that reached a new record for our company with close to $4 billion, building a very solid base and a clear outlook for long-term growth. Both our net revenue and EBITDA are noticeably improving compared to the second half of financial year 2024 when we started our strategic journey. At the end of September, we announced the divestment of our EMEA business, concluding a process we talked about every time we stepped in front of you since late 2024, and that our outcome allows us to return the proceeds to our shareholders through a share buyback program. Let's move to Slide 4. More information on this point specifically. We are very happy to have completed and fulfilled the commitment that we announced about 1 year ago. It was a very competitive process where the investment in preparation we made delivered a strong financial outcome. The 13.4x EBITDA multiple of 2024 actual adjusted EBITDA is a strong indicator in this regard. But outside the numbers, it is also a great outcome for our customers as this makes us comfortable continuing to perform over the next period. And most important, it is a great outcome for our employees who were very positive and welcomed this decision. Credit of this positive outcome goes to our EMEA team led by Rob Evans for their dedication and focus to deliver exceptional operational performance while in parallel dedicating time and energy to the sales process. As previously indicated, this allows us to return the proceeds from the divestment to our shareholders with a share buyback program for which we have announced concrete parameters, namely $175 million on the first trading line. This program will start as of tomorrow. Let's move to Slide 5. Last year, at the occasion of our half year results presentation, we announced 3 strategic initiatives. I'm pleased to report that we have now successfully executed 2 of them. And as we move forward, our focus on the Americas will remain a key priority. As mentioned, the divestment of EMEA on which our teams together with the buyer are currently working hard to carve out the business with the aim to close the transaction in the second quarter of 2026. The current priority is and remains the Americas with a focus on advancing high-quality business built around grid edge intelligence solutions and delivering value to utilities across the globe. The focus on this business will elevate both our EBITDA and cash profile, with very low capital intensity, creating a very different financial profile of the business. While we focus on the Americas, we remain a global business, and we're excited about the global appeal of the offering that we have. And with that in mind, we keep on working towards the U.S. listing in 2026, aligning capital markets with the majority of our business activity. Moving on to Slide 6. We are focusing on the Americas as we believe there is a tailwind that is exceptionally strong with electricity demand growing again after 10 to 15 years of basically 0 growth. There is a real fundamental load growth, thanks to AI and data centers, manufacturing, reshoring and industrial hydrogen production. An assessment we can also see in the utilities capital expenditures going up substantially, which is validated in every single CEO conversation I'm having at the moment. Peak demand growth leads to peak demand no longer supported by permanent energy resources, a secondary tailwind further driving the need for our technology. Let's move to Slide 7 and how this trend translates into business for us. The strength that we continue to see in our pipeline translates into our order intake, and we're excited about that. In the first 6 months, we won close to $600 million of new business with a strong book-to-bill ratio of 1.1. Contrary to last year, when we won some very large orders, this time, we have received a multitude of orders, which speaks to the solid pipeline that we have. Our backlog increased by 30% over the past 12 months and stands at a record $4 billion. We are very pleased about the fact that 43% of the backlog is recurring in nature for our software and services business. In Asia Pacific, the backlog has nearly doubled over the past 12 months, leveraging the same technology platform as in the Americas and benefiting from the region's unique drivers. A recent example of this is the PLUS ES contract in Australia we have recently announced, introducing our grid edge platform on this continent as well. And now I will give the floor to Davinder, our CFO, that will run us through the financials in more detail.
Davinder Athwal: Thank you, Peter. Good morning and good afternoon, everyone, and thank you for joining us today. Let's begin with our consolidated key financial results on Slide 8. Our net revenue for the first half was $535.9 million, reflecting a year-over-year decline. This is primarily due to early milestone completions in the Americas and the wrap-up of a major APAC project in the prior year period. However, on a sequential semester basis, we saw solid growth momentum with meaningful improvements in both revenues and margin. As anticipated, the lower sales volume impacted both gross margin and adjusted EBITDA on a year-over-year basis, driven by reduced operating leverage in the current half year and the absence of a onetime gain recorded on the sale of real estate in India in the prior year period. That said, both metrics improved by more than 200 basis points each compared to the second half of fiscal '24, thanks to disciplined execution and the realization of operational efficiencies. Let's now turn to our regional performance, starting with the Americas on Slide 9. Revenue in the Americas declined by 16% year-over-year, largely due to the early completion of deliverables on a large software project in Japan last year as well as lower sales of certain legacy meters in the current period. The lower software revenue in the current half year, in particular, caused a drop in both gross margin and profit. Despite these headwinds, adjusted EBITDA margin held strong at 17.5%, even after a temporary 100 basis point impact from tariffs in the half year-to-date. This margin resilience reflects our sharpened focus on operating expenses, which were reduced by nearly $14 million year-over-year. Now let's move to APAC on Slide 10. APAC revenue declined by 17.4% year-over-year, largely because the prior year period saw a peak in sales related to an AMI project in Hong Kong that completed together with a delayed project rollout in Bangladesh in the current half year. We do, however, see improved momentum in Singapore and New Zealand as well as consistent performance in Australia. APAC's adjusted margin was impacted by lower operational leverage and mix when looking at a normalized view, excluding the one-off real estate gain in India. Now let's review our liquidity position on Slide 11. We ended the half year with net debt balance of $209.3 million. Key movements since the prior year-end included $41.1 million in dividends paid in July, $37.7 million in cash generated from operations, $12.9 million in capital expenditures focused on growth and efficiency projects and $10.1 million in transformation expenses tied to our key strategic initiatives. We closed the year with a net debt to adjusted EBITDA leverage ratio of 1.4x, providing us with the balance sheet strength to fund future growth. That concludes my prepared remarks. Thank you again for joining us today and for your continued interest in Landis+Gyr. I'll now hand it back to Peter to walk through our remaining fiscal '25 guidance. Peter?
Peter Mainz: Thank you, Davinder. Before addressing the guidance, let me close by commenting on the improved look of our high-quality global business and the new starting point we have created. Let's move to Slide 12. On this slide, we have depicted the impact on both revenue and adjusted EBITDA from removing the EMEA business from full year 2024 financials. It invigorates that we are now paving the path towards a more focused and efficient operating model with a portfolio weighted towards higher-margin business as seen through the immediate 300 basis point improvement in adjusted EBITDA. After selling the EMEA business, this marks a fresh start for our high-quality company with significant predictable recurring revenue and substantial improvements across every financial metric. This is reflected in the guidance discussed on our next slide. So let's move to Slide 13. For net revenue, we confirm our 5% to 8% growth guidance we gave in May this year for the continuing Landis+Gyr business. We expect a strong top line performance in the second half, driven by the momentum built in the first half. For the adjusted EBITDA margin, we increased our forecast from initially 10.5% to 12% to now 13% to 14.5% of revenue. This raise in margin is a result of the focused high-quality business we have created with the strategic transformation. In fiscal year 2025, we will carry $10 million to $15 million of dis-synergies, mainly corporate costs that will go with EMEA after closing. For fiscal year 2025, we need to think about this on a pro forma basis, and it will elevate our profitability further in 2026 and beyond. Let's move to Slide 14. Let me wrap up why we believe Landis+Gyr is exceptionally well positioned for the future. We are a trusted leader in energy technology with a platform deeply embedded in our customers' operations and a track record of being invited back again and again. Across our core markets, we hold substantial share and benefit from a record $4 billion backlog, representing more than 3 years of revenue for the continuing business. This gives us strong visibility in an ever-growing base of recurring revenue. Our financial profile has strengthened significantly. We have sharpened our focus, increased EBITDA and cash generation and lowered our capital intensity, in essence, improving every single financial metric. We are returning value to our shareholders with $175 million buyback and staying disciplined in our execution. With structural demand drivers across electrification, grid modernization and AI, Landis+Gyr is focused, aligned and ready to lead the next era of intelligent energy. And now we'll open the call for questions. Sandra, please.
Operator: [Operator Instructions] Our first question comes from Akash Gupta from JPMorgan.
Akash Gupta: I have a few questions, and I'll ask one at a time. My first one is on North American growth. So if we look at your full year guidance and look at what you delivered in the first half, on my back-of-envelope calculation, it looks like you are guiding for mid- to high teens sequential growth in second half in North America. Maybe if you can start with what is driving it? How much visibility do you have? And what are the risks in delivering this strong growth that you're expecting in the second half?
Peter Mainz: Yes. Thank you, Akash. So obviously, what is driving it, it starts with the backlog that we have on hand. And if you look at the growth rate that you mentioned, that's also -- we saw a similar growth rate in the first half of this year compared to second half of last fiscal year. And part of the substantial growth we also see in the second half, the first couple of months of this first half was a bit impacted by the tariffs, and we had to shift our supply chain a bit, but it's really driven by the momentum that we have created and the momentum manifesting itself in the best way in the backlog that we have as we start the second half of this year.
Akash Gupta: And my second question is on tariffs. I mean you mentioned that you got hit by $5 million. Maybe if you can talk about, is this gross impact or net impact? And what sort of protection do you have in your contracts if something changes materially on tariff fronts in the future?
Peter Mainz: Okay. So the most important thing, if you recall, at the beginning of the year, we said tariffs will have a minimal impact on our financial performance throughout the fiscal year, and that is still true. And the number that you see, the net impact of about $5 million, that's really what we've seen in the first 2 months or so, I would say, of the year when we said we needed to make some sourcing changes to be compliant with USMCA. And as the rules of the game became a bit clear as we started the year, we needed a couple of weeks to clarify that. So we incurred costs in the first, I would say, 2 to 3 months. And we expect those costs to be in the rear mirror here.
Akash Gupta: And my last question is on more of the big picture question. When I look at your Slide #6, where you talk about U.S. power demand and growth. I think what I want to understand is that a substantial part of this growth is coming from data centers. And as we hear, there are -- most of the data centers may have their own power generation on top of grid connection. So the question is that how does this adoption of data centers, both directly and indirectly going to impact your business? Maybe you can give us some examples to better understand how do you expect the demand to change because of this data center growth in U.S. power market?
Peter Mainz: So it's still -- obviously, we'll see a mix how data centers will be powered. But when I speak with utility executives, data center and onshoring is still a substantial growth for the capital expenditures that they have to spend to bring those users of energy life on the grid. So it's driving them substantially, and we believe only a smaller portion will be powered independently. And even if they are powered independently, they need to be connected to the grid and require what we provide flexibility. So we see it as a consistent driver in the capital expenditures and where we see it the most as utilities look at their increasing capital expenditures, they look at which capital expenditures make the most sense. If they are pushed by the utility commission to adjust their capital expenditures, then they go back, which are the expenditures with the highest return on capital and that's where investments in our technology come up being on top over and over again. So we see that as one driver. And the second driver is also -- is the one as we see this peak demand growth and it's turning more into a peak plateau versus a peak. We also see that with some of the permanent energy resources are no longer sufficient to provide that. And again, that's the second driver providing substantial flexibility in the grid to provide the resilience to do that. So those are the 2 drivers that we see. And every time we engage with utilities, they bring that up over and over again. Resilience in light of the demand growth is a big driver. So that's the big driver we see.
Operator: [Operator Instructions] We have now a question from Jeffrey Osborne from TD Cowen.
Jeffrey Osborne: Just a couple of questions on my side. I was wondering if you could split up the recurring revenue that you mentioned between services and software. What's the mix between the 2? I assume it's more weighted to services.
Peter Mainz: So we haven't broken that one out specifically. I don't think you're right with that statement, but we have not broken that one out specifically. So I couldn't provide you a percentage here on this call.
Jeffrey Osborne: Got it. I'm just trying to think of the margin implications as we move forward as that revenue is recognized over the next 3 to 5 years. I assume that would have a pretty pronounced impact on EBITDA for the Americas segment. Is that true or no?
Peter Mainz: Yes. We don't have Microsoft margins on our software. We have industrial software margin, but they're definitely accretive to the overall margin that we see for the business in the Americas.
Jeffrey Osborne: Got it. And then can you just update us -- I think on the last call, 6 months ago, there were a couple of customers that had transitioned from the legacy technology to the new and you had taken a $20 million inventory write-down. Have those customers started ramping up with the newer Revelo platform? Or is that still something to come here in the second half?
Peter Mainz: So when I look at the pipeline and I look at the order intake, that is more or less exclusively Revelo and grid edge technology today. When we look at the execution customers that signed contracts 3 years ago or so, they're still deploying the technology of that generation at that time. But we see a dramatic shift to grid edge to Revelo.
Jeffrey Osborne: Got it. And just 2 quick last ones. What needs to go right to be at the high end of the guidance of 5% to 8% growth? If you could just respond to that? And then I didn't see any wins announced in the order, it sounded -- or in the quarter, the half. It sounded like you mentioned Australia, but is it the right way to think that you just had quite a few smaller wins and not any sort of marquee investor-owned utility wins in the quarter?
Peter Mainz: So as we said, like different from the last time, we didn't have the one big one in our order intake. We had a multitude of orders. I think the largest one was close to $200 million. That was the largest one. So I think we had a good plan and a good mix of order intake. And as I say, every time we are not landing one of those big ones, being close to one is an exceptional result. So I think it's -- the order intake is more a testimony to the strength of the pipeline as it came in than to a single order. So we quite like that one. And between you asked the 5% to 8%, what moves us to 8% versus the 5%, I think it's execution until the last day of March of our fiscal year.
Jeffrey Osborne: But I assume you're not hoping for any type of regulatory decisions between now and March to go your way that everything would be in backlog and it's more around execution and timing of implementation? Or is there still wins that you need to get from a turns business?
Peter Mainz: No. I think anything you need regulatory approval today to wait for revenue. I think we're a bit too far advanced into the fiscal year for this to happen. So it's -- what we need to ship and execute is part of the $4 billion of backlog that we articulated today, and then you have a small portion of just business that comes in day in, day out from the existing customer base we have. So we feel quite good about the starting point.
Operator: We have a follow-up question from Akash Gupta from JPMorgan.
Akash Gupta: The first one is on the share buyback announcement that you plan to spend up to $175 million for share buyback. And the question I had was the consideration of share buyback over, let's say, bolt-on M&A. We often hear that some of your smaller competitors in North America, which are part of large organizations, they are kind of struggling in their smart meter business. And there is some speculation in the market that some of them might come in the market. So maybe can you talk about rationale of share buyback over bolt-on M&A? And if there will be any good interesting assets on the block, would you consider changing your capital allocation?
Peter Mainz: So we've been fairly consistent from the time we announced that we're looking for options for the EMEA business that with the proceeds, we want to return it to the shareholders. And if you look at the list of activities that we still have in front of us for the next, I would say, 6 to 12 months, we still need to close the EMEA business. We're looking at the listing at the U.S. that consumes a tremendous amount of resources. So for M&A throughout that period of time, there would just be exceptional risk, and that's really not at the forefront of capital allocation for us for that period of time. So I think that's really the answer for the next 12 months period.
Akash Gupta: And lastly, I think you announced in the release that you will be now providing quarterly trading update for third quarter in January. So I think that's a welcome step. But just wondering what sort of information shall we expect in the quarterly trading update?
Peter Mainz: Well, you're certainly going to see revenue and gross margin when it is customary for a trading update, I guess, order intake. I think those would be the key numbers that we'll provide -- to provide comfort that we are on track for the full year numbers.
Operator: [Operator Instructions] Gentlemen, so far, there are no further questions. Back over to you for any closing remarks.
Peter Mainz: Looks like with our presentation, we tackled most of the questions that everyone had. So thank you again for joining us today. I appreciate your time and interest in Landis+Gyr, and I look forward to meeting all of you soon, either virtually or in person. Goodbye. Have a great day.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.